Operator: Good day, ladies and gentlemen, and welcome to the CF Industries Fourth Quarter 2011 Results Call. My name is Chantale, and I will be your facilitator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Terry Huch, Senior Director, Investor Relations and Corporate Communications. Please proceed, sir.
Terrell D. Huch: Thank you. Good morning, and thank you, all, for joining us on this conference call for CF Industries Holdings, Inc. I am Terry Huch, the Head of Investor Relations, and with me are Steve Wilson, our Chairman and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales and Marketing; and Tony Will, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its fourth quarter and full year 2011 results yesterday afternoon as did Terra Nitrogen Company LP. On this call, we'll review the CF Industries results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted in the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by Federal securities laws. All statements in the release and on this call other than those relating to historical information or current conditions are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the forward-looking statements included in yesterday's news release and the slides accompanying this call. Consider all forward-looking statements in light of those and other risks and uncertainties, and do not place undue reliance on any forward-looking statements. Now let me introduce you to Steve Wilson, our Chairman and CEO.
Stephen R. Wilson: Thanks, Terry, and welcome to all of you who are joining the call today. I'm sure you all saw the excellent results we published for the fourth quarter. Before we walk you through these results, I want to cover a couple of points. First, I want to recognize Terry, who as many of you already know is in the midst of a transition to a new, bigger assignment of directing all of our natural gas and sulfur purchasing. He has done a great job leading our IR efforts for the last 2.5 years and has set a high bar for his successor, who we hope to identify soon. I'd also like to take a moment to reflect on what we accomplished in 2011. For the year, we had record production, sales volume, revenue, earnings, EPS and cash flow. In doing so, we've proved that we have solidified the platform that was created by acquiring and integrating Terra Industries. We demonstrated our proficiency in operating that greatly improved platform. And I believe our focus on execution allowed us to extract every advantage from it. In 2011, we improved in key areas that already were strengths, including revenue and margin optimization, production excellence, best practice sharing and safety. We thrive even in the toughest stretches of the year because of what I will call robustness synergies, meaning that our expanded scale and flexibility put us in the strongest competitive position when demand was delayed, when product mix changed and when transportation became difficult. In 2011, we produced $3 billion of EBITDA, which is very gratifying because it equaled an internal goal the management team had discussed earlier in the year. Abundant cash flow has been allowing us to do everything we want to do simultaneously: improve the balance sheet, distribute cash to shareholders and invest in the growth of the business. During 2011, we retired the last of our acquisition-related term loans. We distributed over $1 billion to shareholders through share repurchases and dividends and reallocated funds for significant capital projects for both the near and long term. We completed a major expansion at our Woodward, Oklahoma nitrogen facility where we are now upgrading an additional 200,000 tons per year of ammonia to higher value UAN. We laid all the groundwork needed to start production a few months from now of a unique sulfur-enhanced phosphate product that our customers are very excited about. We approved and commenced a project to expand ammonia production at Donaldsonville, 500,000 tons per year. We announced that we had earmarked an additional $1 billion to $1.5 billion for other capital projects within our existing nitrogen complexes in North America. And we increased the number of plants producing Diesel Exhaust Fluid from 1 to 3, soon to be 4 and put in place the corresponding distribution infrastructure. So we had a great year, and we've positioned ourselves for a great future. Financial markets took note of that, rewarding our shareholders with total returns far in excess of market indices and our peers in 2011. Our primary focus will continue to be on delivering outstanding financial results safely and responsibly, which we believe will lead to the kind of returns that our owners expect. Last night, CF Industries reported fourth quarter net earnings of $439 million or $6.66 per diluted share on sales of $1.7 billion, all fourth quarter records. We're very proud of these results, especially considering the decline we saw in market demand and prices during November and December. This gave us a chance to show that the lag in our average prices caused by forward selling does work in both directions. Despite the stiff declines in reported market prices, our average selling prices for ammonia, urea and UAN increased by 9% to 15% from the third quarter to the fourth. But there was more to our margin management than a simple lag. As we entered the fourth quarter, our order book for the period was relatively full with orders received when available margins were higher. Spot prices were disappointing in the second half of the quarter, but we didn't have much appetite for booking new business for most of our products at those price levels, and in any event, very little spot business was being transacted in the industry. Our confidence in the large planting of corn we expect this spring reinforced our position and made it easy to pass on some less attractive selling opportunities in both the spot and forward markets during the pricing trough, which occurred in mid-December. You can see evidence of our patience on our balance sheet. We were holding $878 million in customer advances on September 30, and that balance fell to $257 million by year end. I'll talk later about the favorable implications we expect the smaller book to have in the first half of 2012. For the fourth quarter of 2011, it means that our prepay balance fell by more than $600 million, yet we still had operating cash flow of more than $100 million in that period. Our earnings before interest, taxes, depreciation and amortization were $871 million, a fourth quarter record. EBITDA, excluding mark-to-market adjustments, was a record for any quarter, surpassing the previous mark set just 6 months earlier. The fourth quarter also provided a nice illustration of the way in which lower North American natural gas prices have raised our floor margins, making our Nitrogen business very profitable even in weak periods. In mid-December, urea prices at the U.S. gulf bottomed at around $350 per short ton, which we believe based on our observations, roughly corresponds to the landed cash costs of the highest cost producers. At this theoretical floor price, our cash margin for production and sale of urea at New Orleans was above 60%. If that's as bad as it gets in a period of collapsing demand, then shares of North American nitrogen producers wouldn't seem to deserve much of a multiple discount due to industry volatility. Although demand's lacking for many of our products in the fourth quarter, there were some bright spots. We participated in a very good fall ammonia application season, which allowed us to sell 874,000 tons at an average price of $633 during the quarter. As was the case with the other products, our average price realization for ammonia compared very favorably to benchmarks because much of it had been sold forward in prior periods. Total ammonia sales volume in the quarter was about 5% lower than last year, but the agricultural volume was about the same. Mild weather throughout the growing region allowed application to continue throughout December and even January in some areas. Our team did a great job of delivering the product where it was needed throughout the season. Although inventory levels are low, we were able to meet our customers' needs across our system. As soft was the mild weather was for fertilizer application, it was just as great a boom for natural gas costs. The average daily market price in Henry Hub was $3.31 per MMBtu, which sounds high now but was 20% lower than the average in the prior quarter. We priced a lot of the gas we consumed in the fourth quarter when we accepted forward orders prior to the beginning of the quarter, which accounts for most of the difference between the average fourth quarter hub price and our average cost of $4.06 per MMBtu. Our phosphate operations had a good fourth quarter too. We exported a large area of our DAP and MAP volume during the first quarter. The rapid pace of exports continued last month with export net backs at a premium compared to domestic sales. Our average, phosphate price realizations in Q4 were up sequentially and 18% higher year-over-year. For the year, the Phosphate segment had sales of $1.1 billion and an average price realization of $565 per ton. Both were second highest in our history, exceeded only by 2008 when we posted phosphate sales of $1.3 billion with an average price realization of $760 per DAP. The Nitrogen segment rewrote the record book in our first full year after the Terra acquisition, achieving sales of $5 billion and gross margin of $2.6 billion. Average nitrogen price realizations were very similar to 2008 levels but with 51% gross margins compared to 30% in 2008 when our average gas cost was more than double what we experienced in 2011. Whereas 2008 represented a short-term spike in commodity prices, 2011 was a year of more gradual and sustainable increases supported by strong demand, favorable supply dynamics and much higher input costs for swing producers in Eastern Europe and China. Before I turn the call over to Dennis for a few more comments on our financial performance, I'd like to salute our entire CF Industries team. The market did provide a great opportunity in 2011, but it took a great team effort to achieve what I believe were stellar results. It was a pleasure to watch our fully integrated team execute our strategy last year. Dennis?
Dennis P. Kelleher: Thanks, Steve. For the full year 2011, CF Industries had net earnings of $1.5 billion on sales of $6.1 billion. Fully diluted earnings per share of $21.98 included noncash mark-to-market losses on natural gas derivatives, the impairment of methanol assets in Woodward, gains on the sale of noncore assets, restructuring integration and other business combination costs and a small amount of Peru project development costs. Together, these items reduced EPS by $0.91 for the year. EBITDA for 2011 was about $3 billion. To put that in historical context, the company's sales didn't reach $3 billion until 2008. The items affecting earnings that I just mentioned excluding a portion of business combination costs that was recorded in interest expense reduced 2011 EBITDA by $83 million as shown on Slide 8. Our fourth quarter net income of $439 million or $6.66 per share included mark-to-market adjustments of $49.7 million before taxes or $0.47 per share after tax. This represents the adjustment required to bring natural gas derivatives that will mature in future quarters to their fair market value based on the gas strip as of December 31. Our fully diluted EPS was a fourth quarter record as illustrated by the red box bars on Slide 5. Before mark-to-market adjustments, EPS was a record for any quarter in the company's history although net earnings were not. Due to our share repurchases, EPS had the added benefit of a significantly reduced share count compared to the second quarter of 2011 when we set the prior records. Our Nitrogen business performed very well in the fourth quarter. As shown on Slide 6, we had nitrogen sales of $1.5 billion, up $461 million from the fourth quarter of 2010 on about the same volume. Segment gross margin of $786 million was 54% of sales, 12 percentage points higher than in the fourth quarter of 2010, due to higher prices and lower natural gas costs. Our average ammonia and urea price realizations were up 40% year-over-year, and average UAN realizations were up 72%. The nitrogen segment had sales volume of 3.3 million tons in the fourth quarter. An increase in UAN volume offset small declines in other products. For ammonia, the year-over-year reduction in fourth quarter industrial sales was about equal to the amount of net ammonia capacity that was consumed by the Woodward UAN expansion. Agricultural ammonia sales were flat compared to the fourth quarter of 2010, but both quarters were very good application seasons due to strong demand and favorable weather conditions. January urea sales volume was slightly lower than in the fourth quarter of 2010, but our average realized sales price of $465 per short ton was a great result. That compared to $331 in the fourth quarter of last year. We sold 1.6 million tons of UAN in the fourth quarter at an average price of $354 per ton. That represented increases of 139,000 tons and $148 per ton compared to the fourth quarter of 2010. The volume increase essentially corresponded to the amount of quarterly production capacity we added earlier in the year. For the full year, the Nitrogen segment had gross margin of $2.6 billion compared to $1 billion in the prior year. 2011 marked the first time the company has ever shipped 13 million tons of nitrogen products in a year. The Phosphate business also performed well, which you can see on Slide 7. We achieved a 31% gross margin on sales of $255 million. Sales volume of 439,000 tons was 38,000 tons lower than in the fourth quarter of 2010, but the combined average selling price for the phosphate was 18% higher. Exports comprised 45% of our phosphate sales in the quarter, which is a little higher than average. We continue to have a conservative balance sheet with ample liquidity. I know that investors have been very interested to learn more about the progress of our share repurchase program. In 2011, we spent $1 billion to repurchase common shares, which was the maximum amount allowed under the restricted payments basket in our revolving credit facility. With this report of our results for the year, the basket gets replenished, allowing us to resume the repurchases at our discretion. Many of you have asked us what our cash deployment intentions are beyond the share repurchase and investment initiatives that we announced in August last year. To the extent we have available cash for additional forecasted cash flow, we'll go through the same disciplined process that was used last summer to determine the best way to employ capital to maximize shareholder value. We are pleased, of course, to be faced with this issue only 6 months after announcing actions totaling $2.5 billion to $3 billion. In 2011, we had capital expenditures of just less than $250 million. This was below our average pace of $300 million across the turnaround cycle. For 2012, we are projecting CapEx of $400 million, reflecting higher expenditures for plant turnarounds and some spending for the Donaldsonville ammonia debottlenecking project. The other expansion projects we announced in August should be ready for decisions in the second half of the year, but 2012 capital expenditures on these projects should be minimal. Now with that, let me turn it back to Steve to discuss the outlook.
Stephen R. Wilson: Thanks, Dennis. I've given many favorable outlooks in a row on our quarterly calls, and I'm happy to say that our track record over that period has been pretty good. I know there's a lot of uncertainty out there now, which has been evident in the timing of fertilizer purchases and in market volume expectations for P&K. Like others in the industry, we're somewhat cautious about demand levels for phosphate this spring, and we've acted on that sentiment by accelerating the timing of plant turnarounds for portions of our phosphate operations in Florida. In contrast, we expect strong demand for nitrogen in the spring. The USDA's current season average forecast for the farm price of corn is the highest ever for this time of year. And the projected stocks-to-use ratio at the end of this marketing year is the second lowest in 40 years. We expect farmers to plant a large number of acres to corn, quite possibly an all-time record and applying near optimal amounts of nitrogen fertilizer if weather conditions are right. Investors don't need to watch daily changes in the spot price of corn to forecast what kind of a spring the nitrogen industry is likely to have. We don't believe a moderate change in the current spot price of corn will change planting and fertilization intentions at all or have a meaningful impact on the grower's ability to pay for crop inputs. We continue to forecast planting of 93.5 million acres of corn in 2012. Whether the actual number is a little higher or a little lower, the quantity of nitrogen fertilizer demanded should be near-record levels. We already have a good jump on nitrogen fertilization this year with the favorable conditions for applying ammonia. In fact, it was hard to tell when the fall season ended and the spring season began this year. Extremely mild weather made it possible for growers to apply ammonia in January in many parts of the Midwest, with particularly strong pull in Kansas, Missouri, Iowa and Nebraska. We're also seeing a rush to fertilize winter wheat in Texas and Oklahoma, where precipitation came late. As a result, ammonia volume and business mix should be favorable in the first quarter. Although ammonia may garner a slightly larger share of nitrogen product mix this fertilizer year, investors should not be concerned that this will be problematic for us. Spring of 2011 showed that with acceptable weather conditions, we can have a very good demand for all nitrogen products in the year when more than 90 million acres of corn are planted. Our order book on December 31 was smaller than it was a quarter ago or a year ago. That's not a concern for us either. We believe that demand will be there, and our volumes will be strong if weather cooperates. Because purchasing decisions are late this year, we expect that some areas will experience a buying rush in the last 2 months, and suppliers with product available for spot sales may be rewarded. Our raw material cost continued to be a strong tailwind for us. Phosphate production cost will benefit from the recent fall in Tampa ammonia prices, which are rather loosely correlated with corn belt ammonia prices. Domestic phosphate producers also settled sulfur negotiations recently and secured a 22% decrease in the first quarter compared to the fourth quarter. And, of course, the recent drop in natural gas prices will benefit our Nitrogen business over time. Recent spot in the front month prices for gas at Henry Hub have fallen to a range of around $2.50 per MMBtu because of production growth and very warm weather. As a result, the U.S. has built a storage surplus of between 600 and 700 Bcf in the lower 48 states compared to the last year and the 5-year average. Rig counts have been falling, but they have to fall further to stop the growth in production. To reverse that growth, we believe well shut-ins would be required. As a result, we don't expect much strength in gas prices this year. Our press release indicated that as of December 31, we had fixed the price of nearly 2/3 of the gas we expect to use in production in 2012. Had we known that this would be the winter that never arrived, we wouldn't have been quite so aggressive. But forecasting the weather isn't something we claim as an area of expertise, in fact, I'm not sure it's anyone's area of expertise. What I know is that we saw an opportunity to fix our cash cost of urea production below $150 per ton, which is a level at which we can earn very attractive margins. To wrap up, we expect 2012 to be a great year. We expect a potential record planting of corn, and we believe strongly that it will translate into very good demand for nitrogen. If we experience periods of lower demand, our margins will be supported by better floor price economics than in the past and very favorable feedstock cost. Together, these factors provide more evidence that nitrogen industry results will be characterized by higher highs and higher lows going forward. With that, let's open the call to your questions. Chantale, please explain the Q&A procedure.
Operator: [Operator Instructions] And your first question comes from the line of Elaine Yip of Crédit Suisse.
Elaine Yip - Crédit Suisse AG, Research Division: So a quick question on your natural gas hedges. Can you give us a sense as to perhaps what price you might have walked in on average and how the hedges are spread over the course of the year?
Stephen R. Wilson: I'll give you a bit of perspective on our process, and I'd like to put what we did in a bit of a longer-term context. First of all, we noted that we fixed about 2/3 of our gas for 2012. That means that we're roughly 1/3 exposed to the spot market at this point for 2012. And of course, we're fully exposed to future gas prices for 2013 and beyond. What we did in the late fourth quarter really shouldn't be a surprise to the people who've been conversing with us over the last couple of years. We indicated that we hadn't had an appetite to lock in fixed gas beyond our fertilizer sales commitments, but that we might become interested if strip got below say $4, that we -- that had a free handle on it. So when that happened in around mid-December, we convened our natural gas committee. They made a recommendation for a program, which we executed over a several week curve following that series of meetings. We're very comfortable with what we did. We're never going to be perfect here. I'd like to remind everybody that urea is a product that recently has sold in the range of $350 to $450 a ton and higher than that in the past, and to have an opportunity to fix our cost at below $150 a ton was a great opportunity. Part of our decision process, of course, is based upon our past experiences, bad things happen in this business. Out winters get cold and so we were protecting ourselves against the adverse weather events. From a much longer-term perspective, I'd like actually to remind you of how we manage our margin. We've talked a lot over the years about our Forward Pricing Program, how we make decisions about forward prices, how long our forward commitments are, and we've had lots of discussions about the fact that our focus isn't on the absolute price, it's on the margin. And we're looking to achieve the highest possible margin on a sustained bases. Turning the coin over and looking at that gas side, our view is exactly the same, and that is that our focus is on the margin by having our cost structure pretty well fixed. It gives us the opportunity to exploit what we hope and expect will be a firming of prices on the nitrogen side. So over the last period of time, I think we've demonstrated really good discipline in what we do. This is the kind of process that led us to post $3 billion of EBITDA in 2011 on $6 billion of sales. So I feel really good about what we did and where we stand going forward.
Elaine Yip - Crédit Suisse AG, Research Division: But, I mean, I guess in thinking about what cost you might have locked in 2012 that the long-term strategy certainly makes a lot of sense, but how should we think about the hedges in place? Is it more weighted towards first half, second half? What is maybe the relative price or what time? At what point in 4Q did you decide to put the hedges on?
Stephen R. Wilson: Well, we looked at this in around midmonth, and we're looking at the strip at that point. And in terms of the spread throughout the year, there's not much variation throughout the year.
Elaine Yip - Crédit Suisse AG, Research Division: Okay. Great. And then can you comment on your nitrogen production capability for 2012? You obviously ran at exceptionally high rates in 2011. Can that really be sustained this year? What type of turnarounds might you have scheduled throughout the year?
Stephen R. Wilson: Tony Will will comment on that, Elaine.
W. Anthony Will: Elaine, by any measure, 2011 was a terrific year for us in the production side, as well as for the whole company. We had fewer turnarounds than in '11 and usual, and we also had less unscheduled downtime than a historically normalized year as well. And that resulted in production records across the company. So as we look forward into 2012, we have more turnaround scheduled than in '11 and an assumption that the unscheduled downtime will also return to something that may be more reflective of a normal pattern. And the result of that is that we're expecting for our production volume this year to be a bit lower than where we were in 2011.
Operator: Your next question comes from the line of P.J. Juvekar of Citi.
Daniel Jester - Citigroup Inc, Research Division: This is Dan Jester sitting in for P.J. I was just wondering if we could talk a little bit more about your order book. When I see your balance sheet and customer advance is down 40% year-over-year, is that sort of a good way to think about sort of how the order book stacks up compared to a typical year? And are there any specific products which might be a little bit weaker than others?
Stephen R. Wilson: Bert?
Bert A. Frost: I think how we would look at it is every year is different, every season is different. And our order book, as Steve mentioned, trended lower into the first quarter. So with 93 million acres or 94 million, whatever the estimate is, which would be a 2 million to 3 million-acre increase over what was planted in the spring of 2011, we're very positive what will take place and the need for farmers to purchase nitrogen. So while the book might have been a little bit lower than normal coming into the first quarter, we're anticipating robust activity from this point forward, and we've already seen some activity during the first 2 weeks of February.
Daniel Jester - Citigroup Inc, Research Division: Okay. Great. And then just one other follow-up. Can you update us a little bit on your plans for Peru? I saw a recent report that the government may have set a deadline for your project there, so I just wanted to get an update.
Stephen R. Wilson: Well, Dan, I really have no update. We have been sort of sitting on the sidelines waiting to see whether some roadblocks got broken. They haven't been broken thus far. That particular report was not factually correct. But the substance of my response is that we haven't made any progress there.
Operator: Your next question comes from the line of Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: I was just wondering if you could clarify the terms of the credit agreement a little bit in 2 ways. One, what do you now have available in terms of the amount of share repurchases for 2012, is it $500 million, is it $1 billion? [indiscernible] I know what's left in the program. And two, why not renegotiate that agreement or get a new one to give yourself complete flexibility to take advantage of things like your $130 share price at some point in December or the 10% down day on the Ukrainian gas concerns in November? And then thirdly, with the gas costs fixed now, does that give you more confidence or more comfort in maybe executing incremental or larger share repurchases than what's left in the authorization?
Dennis P. Kelleher: Vincent, this is Dennis. I'll respond to your question. I want to just sort of put my response on the context with sort of what's happened over the past several months. In August, we announced with respect to shareholders sort of 2 initiatives. One was to increase our dividend to $0.40 per share per quarter, which we've done, and that's happened, that's delivered. And in addition to that, we announced that we had authorization from our board to repurchase shares up to $1.5 billion, and that authorization runs through the end of 2013. And we've completed 2/3 of that before 2011 had even ended. And we were able to buy those shares back at $153 a share on average, $153.50 I think, which is well below today's price and certainly very well below our time all-time high share price, as you know. As we think about the future, what I can say about that is what I've said in the speech itself and going forward, and that is we're going to take the same disciplined approach to looking at additional share repurchases in the future as we have in the past. Since those seem to make the most sense in terms of delivering value to the shareholders, then we'll certainly do that. As we said in the speech, with this report, our basket has been replenished, and we're capable of moving forward and resuming share prices when we choose to do so consistent with the authorization that we have. With respect to the credit agreement, what I'd say about that going forward is we have not amended that in the fourth quarter last year because we really don't want to tinker with that at the margins. To the degree that we want to do something different there, and I'm not saying that we will but to the degree we want to do something different there, we would do something much more comprehensive than simply amending this particular part of the agreement or that particular part of the agreement. But I really don't have anything on that to say today.
Stephen R. Wilson: Vincent, this is Steve. I'll just add a couple thoughts. One is that the basket that we have available now is bigger than what we would need to complete the program that's in place. And with respect to the last part of your question, which I believe related to does our large amount of fixed-price gas give us a greater ability to do share repurchases. My answer to that is that our gas hedging activity is really a tactical move designed to change our risk profile in managing our margins going forward. And it doesn't really impact our longer-term view on the cash generation capability of the company or what we might or might not do with that cash.
Vincent Andrews - Morgan Stanley, Research Division: Okay. If I could just ask a follow-up. Could you talk a little bit specifically about the UAN market? Prices have come down sort of precipitously in the last few weeks, and there's been some chatter in the trade about one of your competitors being more aggressive with selling product in the fourth quarter than it sounds like you were and just how you're thinking about your position there as we go into the spring.
Stephen R. Wilson: Bert?
Bert A. Frost: We're pleased with our position. The UAN market has been volatile. As you can see from our pricing coming off the fourth quarter at $3.54, we captured exceptional pricing. And you're correct. At the end of the fourth quarter, pricing did come off. A reflection of several issues, you see from the import statistics, a large volume on a 5-year average and even on a year-on-year average were much higher than anticipated. And I think some areas probably on the East Coast where the import tanks were full, that shifted some of the import material into other markets. That, coupled with delays in purchasing, whether that be prepaid that comes in, in December, generally or retailer, wholesaler delays in purchasing during that period, probably pushed a few producers to become more aggressive. But again, last year, when you look at what happened on ammonia and UAN and for the spring of 2011, we had an exceptional fall, an exceptional spring on ammonia and an exceptional summer or spring to summer application of UAN. We're anticipating similar movement this year, and that's the benefit of where we are at CF with our interior tanks in production and our logistical capabilities. We believe will be able to capture the market when it does come, and it has started to come. The urea price, as you know, have moved in NOLA recently and that should on end basis, push UAN to a similar level.
Operator: Your next question comes from the line of Kevin McCarthy of Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Steve, in your release, you had indicated that ammonia volumes were pretty well depleted in January for yourselves, as well as I think, some of your competitors. Can you talk about implications for volumes in the first quarter? Is it your sense that it's getting pulled forward from the second quarter into the first as a result of the favorable weather?
Stephen R. Wilson: Kevin, just -- I'll make a general comment, and Bert will follow if he has anything to add. We are very pleased to have the ammonia run that we had this fall. It helped us display the strength of our system, which is a fully integrated system from plant to basically to the truck heading off to the retailer or to the farm. And because of the length of the season, we were able to augment the volumes that were in our tanks before the season started and continue to run. And that's a credit to our supply chain people and the coordination that exists from the plant to the supply chain to the sales organization. Having said all of that, we have product to sell, and we'll be ready to go for the spring. Bert?
Bert A. Frost: I think the only thing to add is how -- what doesn't -- is not seen is our ability to transition between products in production, whether that be if ammonia is strong, we have the ability to go full ammonia, full UAN or in Donaldsonville, Courtright and Medicine Hat, we have the ability obviously to produce urea. And so those plants that are dual or triple capability were moving between products as the market demands.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then a couple of follow-ups if I may on natural gas. Steve, I'd be interested to hear your thoughts on the outlook for gas costs over in the Ukraine at the high end of the cost curve in 2012. And then second, just as a clarification, am I correct in understanding that you did not put in any additional hedges in the first quarter to date such that you're still at a 65% hedge ratio as of today?
Stephen R. Wilson: The answer to your last question is we haven't had significant activity since the end of the year. With respect to what's going on in Ukraine, I guess my understanding is that there's no news out of the Ukraine since the rumors that came out a couple of months ago and caused a little bit of scare in the marketplace that there was a gas deal on the horizon that was going to be put in place. It hasn't been announced. And so as far as we know, those producers today are hanging there in the range of $7.50 MMBtu for the gas or higher -- and higher in some cases.
Operator: Your next question comes from the line of Edlain Rodriguez of Lazard Capital Markets.
Edlain Rodriguez - Lazard Capital Markets LLC, Research Division: So just quickly, so just to clarify, so now we're having less forward sales, does that mean your realized prices will be much closer to spot going forward in 2012?
Stephen R. Wilson: Well, for that portion of our business that is not already booked, we have the opportunity to capture prices at the spot level.
Edlain Rodriguez - Lazard Capital Markets LLC, Research Division: Okay. And on natural gas again at $250 right now, why not hedge more in terms of for post 2012, let's say for 2013 and so forth? I mean, what's keeping you from being more aggressive post 2012?
Stephen R. Wilson: A flippant answer would be if we do that, we leave ourselves susceptible to being questioned about why we're not in the spot market when it's $1.50. But that is just a flippant answer. We look at our gas positions on a regular basis. I'd never say never. But there's a lot of gas out there, and there aren't signs of a deep freeze coming before the winter is over. So perhaps, there is as much opportunity -- there's additional opportunity in front of us.
Edlain Rodriguez - Lazard Capital Markets LLC, Research Division: Okay. And just lastly, given everything you've seen in the market right now and the expectation for the spring, like how confident are you that prices will firm up as we get closer to the spring planting season?
Bert A. Frost: I don't want to make a call -- this Bert -- on where prices will be, but you have seen from the lows of December of $350 for urea, today we're at $430 for March and April and expect further strength. UAN will follow behind. Midwest ammonia has stayed strong, you can see that in Green Markets. And again, going back to demand and the need for nitrogen, especially on the corn on corn acres, we believe that the farmer's incentive to apply the maximum or the ideal amount of nitrogen fertilizers will be met, and we will have the inventory in place, and we do expect spot outages. As these delays have taken place on the purchasing side, that limits the logistical capabilities of the overall market, and that's where again, we believe our strengths lie because of our debt strength and assets in place.
Operator: Your next question comes from the line of Mark Connelly of CLSA.
Kurt Schoen - Credit Agricole Securities (USA) Inc., Research Division: This is Kurt Schoen in for Mark. With more DAP and MAP going to the export market over the past year, do you expect this trend to continue going forward? And secondly, where do you see the greatest phosphate growth opportunities internationally for CF?
Stephen R. Wilson: Well, in terms of our mix of import and export, we don't have a target in mind. We look for the best net backs we can get. I think our location in Florida coupled with our relative size gives us an opportunity to take advantage of pockets of demand where they develop. And in some cases, these are smaller pieces of demand than some other people are interested in taking. We're happy to take that business if it provides a good net back. But we don't have objectives here. We watch the market daily. Our partners at KEYTRADE help us do that. And we look at our margins, not at where it goes. With respect to future market development, Bert, you want to comment on that?
Bert A. Frost: I think it goes back to your comment on KEYTRADE and the partnership that we have there that's very strong and the relationships that are in place around the world. We're on the phone or visiting the major markets on a regular basis, that being South America specifically, Brazil. We did move some tons into India, you saw that in the fourth quarter and then other opportunities as they come up whatever continent that -- where that may be. We do have, as mentioned earlier, the new product coming online in 2012, the sulfur MAP. We're excited about that and have a high level of demand or anticipation for that product when it is available.
Kurt Schoen - Credit Agricole Securities (USA) Inc., Research Division: Great. And with India's reduction of their subsidy or their planned reduction, how do you view that affecting that market for DAP and MAP?
Bert A. Frost: Well, it's interesting because the statistics are out and obviously we're watching India because it's such a big weight on the phosphate, the world phosphate market. And with the decrease -- they're projecting a 20% decrease in DAP, but you have a consummate corresponding increase in the N-P-K. So the nutrients, and I don't have that on the exact level, were pulled, but we are watching the subsidy level, and if that can have an impact on demand, but the need there is stark. The need for yields, and yields will only be achieved through N-P-K. And each of us in our respective areas -- obviously we're focused a little more on nitrogen but phosphate is important, and our colleagues that do phosphate and potash, we believe that, that -- that India will have to, whether it's through subsidies or market-based mechanisms, have an increasing demand and requirement for nutrients.
Operator: Your next question comes from the line of Lindsay Drucker Mann of Goldman Sachs.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: I just wanted to follow-up on Vincent's question on your buyback capability. So is it fair to say that without changing the revolving credit line that you guys would be capped again at $1 billion of repurchases this year?
Dennis P. Kelleher: What I'd say is that if you look at the -- we've replenished the basket. We have authorization to do $500 million, Lindsay, for the balance of the authorization period ended 2013. We're in a position where we, if we wanted to or if it makes sense to do so, we're in a position to complete the authorization if we have to in 2012.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: So I guess there's 2 pieces. It's whether or not you would put out another authorization to buy back more stock and whether your revolving -- whether the credit agreement would limit -- it doesn't necessarily matter what you authorize if your credit agreement prevents you from actually pulling the trigger on those repurchases. So how do we think about -- the authorization part is straightforward, how do we think about how your credit agreement might cap you from further share repurchases this year unless it's reauthorized -- or unless it's amended?
Stephen R. Wilson: Lindsay, let me -- I'm going to reiterate Dennis' earlier comment and then add to it. As we go forward, assuming that we continue to generate cash the way we have been generating cash and the way we expect to generate cash, we're going to be faced with this wonderful question again about what to do with the cash. And we'll go through the same kind of process that we went through before in terms of coming to conclusions about deployment of cash. And at those points, at that point or those points in time, when we want to take actions, we will do whatever's necessary in our own infrastructure to enable ourselves to do that.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: Okay. Maybe moving on to market dynamics. So we have seen some nice pick up in urea and yet some continued stagnation at the price levels for UAN. Can you help us understand what -- whether there is demand substitution and where it might be between urea and solution and then also, how much swing production capability that you guys have not between UAN and ammonia, but whether there's any between UAN and urea and how much that exists in the broader industry?
Bert A. Frost: Regarding product substitution, that is a constant question and the farmer preference for what product he will apply on what crop. And there is obviously the 4Rs that we market and adhere to which are pushed by the Fertilizer Institute and -- but in certain areas and specific on the top dress of urea, which is where we saw movement during January and February, it was both. But it was definitely favored towards UAN. UAN is a great product. You can apply it with your chemicals. You have different variable rates. And so we're seeing growth in that and you can see it in the statistics with the growth in consumption of UAN, along with the acreage growth. But that is more tied to corn and corn being a heavy user of nitrogen. We talk a lot about this in the industry, and we still see consistent ammonia consumption in a range and urea and UAN also. So I don't -- all we -- I don't see much, again that you're in a range of value of N, I don't see a lot of substitution taking place. And what we'll see, what we anticipate seeing is a recovery of UAN as to rather than trading at a discount to urea, it will trade at parity or even an increase. Regarding the other issue of -- Tony, you want to take the production?
W. Anthony Will: Yes. Lindsay, on the production side, primarily at Donaldsonville we've got flexibility to move back and forth between more granulation of urea and cutting back on UAN. And that is an analysis that we look at in terms of margin per unit of nitrogen on an ongoing and continuous basis and can dial up and dial back on the fly as we go. And we've been running max urea granulation for quite a while now, and we'll continue to do so.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: As you think about the -- you talk about 93 million, 94 million acres of corn, in some places, you're even looking for 95 million, how do you think about the end and with the end demand, demands for UAN solutions should be in the first half of the year relative to the supply that we're already providing in the U.S. plus the new imports from Trinidad that we're seeing having an impact on the market. I guess I'm just wondering, it seems like demand's going to be good, but if supply is kind of crowding out the high-cost producers, why do we have hope that UAN prices start to improve from depressed levels?
Bert A. Frost: So when you look at the world market on a capacity basis, strict capacity basis, UAN is adequately supplied. However, you do have to move that product on a timely basis at the moment of consumption. And UAN is consumed in a narrow book-ended 3-month range of time. And so it's not that those capacities nor those quantities are available at all periods. And so yes, there has been a higher level of imports. And yes, the market has traded at a discount. But at let's say 13 million, 14 million tons of demand for UAN over again, a 3- to 4-month period, we think we're in a very nice position to capture the demand, as well as the price appreciation and/or the price that's available in the market.
Operator: Your next question comes from the line of Michael Picken of Cleveland.
Michael Picken - Cleveland Research Company: I just wanted to delve into that Phosphate business a little bit more. You indicated you might move up some of your downtime, and I just wanted to get a sense for how much production you're planning on cutting and if your expectation is that demand in the U.S. for phosphate is going to be flat or down slightly this year.
Stephen R. Wilson: Tony, you want to talk about our physical activities?
W. Anthony Will: Yes. You bet. Michael, so we looked at the current market conditions and our upcoming maintenance requirements. And based on where margins are currently versus expectations about what may develop in the future, we decided to move some of our turnaround activities into Q1 that were originally planned for later in the year. And so this has the effect basically of moving production out of Q1 that we'll realize then in the back half of the year. And the net result of that was that our reduction in Q1 production is roughly in line with what other North American producers have announced.
Michael Picken - Cleveland Research Company: On a percentage basis, you mean?
W. Anthony Will: Yes.
Michael Picken - Cleveland Research Company: Okay. Great. And then in terms of kind of where you see the demand for phosphate I mean in the U.S. and globally in 2012, I mean, do you see global phosphate demand being sort of flat with last year or do you think it's going to be up slightly or what are sort of your expectations in the U.S. and globally for phosphate demand?
Bert A. Frost: I think we're in a -- this is Bert. We're in an interesting time. Normally, the November to January period is slow. And for Tony's point, we anticipated that in the reflection of the market, did what we did. But we see a positive market going forward. Some of the other destination markets in the international side were long or have been longer with inventories, that being Brazil and then the India discussion that when they go to negotiation with the major suppliers, we'll be watching that. But the U.S. had a good fall application window. And I think there is adequate supply in the United States. But we're also seeing -- consummate with the other products, we're seeing a positive market for phosphates going forward and anticipate a rebound in the international activity, probably later in the first but into the second quarter.
Michael Picken - Cleveland Research Company: Okay. Great. And then last question sort of just in terms of your expectations for Chinese exports this year for both urea and for phosphate.
Stephen R. Wilson: I think, in general, we see continuation of essentially the same program as last year. I think our expectation is maybe a little less urea exported than last year with respect to phosphate. Bert?
Bert A. Frost: I would say the same. I think the 4-month window and the tax structure that's in place is that the obviously, an evolving and changing dynamic to the market, but it's been very positive to the North American phosphate producers who participate in the international markets.
Operator: Your next question goes to the line of Charles Neivert of Dahlman Rose.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: A quick question. Maybe you can help me reconcile this. You said we had a pretty decent fall on application, nitrogen, the major nutrients going down. We've had an extended winter so to say or a lack of a winter which has allowed more product to go down. And now, but you're still telling me that come the spring, we're going to run into a problem because -- or potentially a problem because we're trying to squeeze a lot on late. But we've laid down a lot already. Does that really negate that possibility or at least reduce it substantially? I mean, I know there's still substantial product to go down, but we've already put down probably more than we usually do at this point in time. So do you think that squeeze that typically comes or might come in the spring can happen again?
Bert A. Frost: You have to define what we're putting down. The spring season for wheat normally takes place in late January and into February. And so that might have been pulled forward a couple weeks, but that's normal activity in Oklahoma and let's say Kansas, Oklahoma, Texas region. What we mentioned earlier regarding ammonia and to the upper Midwest was abnormal in January. But when you consider that there are 4.6 million to 5 million tons of direct application of ammonia applied per year and a narrow window of January, how much went down in those markets? More than normal, but still, we need a lot of nitrogen for the corn and other products. And I think as a person focused on agriculture, we're pleased with that because that allows producer farmers to anticipate and time their planting, which as you know in the last couple years, has been extended due to weather delays. So this is probably ideal for the United States.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: I guess the question is looking forward, how much still has to go down? Is that pretty much within the realm of normalcy? Obviously, weather is going to -- is always the issue when you go to put it down. But we're not looking for any excessively large amount that has to get placed down where we might run into a weather issue that might close that down a little bit. So we're in a normal range for delivery, and if the weather is even reasonably cooperative, we should be able to get that down, is that a reasonable assessment?
Bert A. Frost: 3 million more acres conservatively, and you're adding acres in, I would consider, marginal areas that are going to need nitrogen. And so you have to add in the caveats and the additional points that still, a lot of product needs to go down. So I'm not -- I don't have an exact number for you. And when we report our Q1, you'll see the ammonia movement. But it's still very positive.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: No, that's okay. We're going to have a big year, it's just a matter of is there going to be enough of a squeeze to create the pop in pricing that might be in the market expectation currently.
Operator: At this time, I would like to turn the call back over to Mr. Terry Huch for closing remarks. Please proceed, sir.
Terrell D. Huch: We'd like to thank everyone who participated in the call today, and if you need more information about our results, I would invite you to contact me. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a wonderful day.